Emelie Alm: Hello, everyone, and welcome to the presentation of the third quarter results for Husqvarna Group. My name is Emelie Alm, and I'm Head of Investor Relations here at Husqvarna Group since a few weeks back. So I'm joined here in the studio today by our CFO, Terry Burke; and also our CEO, Glen Instone. So Glen and Terry will walk you through the results. And after that, we will open up for a Q&A session. [Operator Instructions] So with that, I think it's time to start. So Glen, how do you feel standing here the first quarter as CEO of the group?
Glen Instone: Thank you, Emelie. So I feel good. So a big honor and privilege to be asked to step in and lead this amazing group. I'm not such a new guy on the block. I've been around for some 24 years in the group, but of course, new in this position. We look forward to the next hour and taking you through our Q3 results. So before we go into Q3 and looking back, I think it's good just to look at where we are today and some of the innovations we have going forward. I'm actually going to start top left and go anticlockwise. So last Friday, we released a press release, which talked about 7 new models when it comes to AI-led vision models for robotic, both for the residential user as well as the professional user, covering lawn sizes from 400 square meters to 8,000 square meters, so really a full assortment. This actually supports with edge detection, so precise edge detection and of course, object detection as well. So we really feel this raises the bar again when it comes to our innovation and technology pipeline around robotic lawnmowers. These will be launched in both the Gardena and Husqvarna brands. Moving on to the bottom left now. Of course, our professional robotic solution we've been talking about for some years now. What we're really pleased about is how the demand for the professional robotics is actually really taking shape in the golf space. We've actually got some 1,500 courses where our products are present today. So the awareness of the category is really growing. A good testimonial to that actually is the recent AIG women's golf open. The fairways were completely cut by Husqvarna robotic lawnmowers, 15 CEORA machines cutting the fairways. That is the first from a truly international golf contest. So that is a really proven point when it comes to our technology is working. Continuing the automation journey now on the bottom right, we're very pleased to launch our Husqvarna Autogrinder in the construction industry. This is where we take automation from the lawn into the light construction space, and we're really pleased with that. Orders are actually already coming in, and this will be launched for season '26. So very excited and optimistic about that solution. And last but certainly not least, really talking about our core is where we have just launched a new 50cc range of petrol chainsaws under the Husqvarna brand. Again, we're right in the middle now of our fall season and right in the middle of chainsaw season. So the timing has been perfect for this launch. So very excited about what we've got from an innovation pipeline going into season '26. So now we'll jump into Q3. So Q3, to summarize, we actually saw a growth in our professional segments, particularly around professional robotic lawnmowers and professional handheld, both under the Husqvarna Forest & Garden as well as the Construction space. And of course, with any handheld, it normally comes with a strong support from a P&A perspective, and that has been the case. So very strong growth on the -- in some professional applications. Overall, the sales growth was actually flat in the quarter. But despite that flat top line, we managed to improve the earnings. Earnings improvement has really come by way of strong cost control and strong cost improvements, which Terry will take us through later in the presentation and also the strong mix. So we continue to deliver on the cost savings that we've been talking about in recent periods. We do, however, see headwinds by way of FX and tariffs. And again, Terry will bring more detail and flavor on that later in the presentation. I'm really pleased to say we've continued to drive a strong cash flow, and that strong cash flow has really helped to reduce our net debt. So we continue to have a strong balance sheet and continue improving that metric. Now looking a little bit ahead, of course, we will continue announcing new innovations, and we'll continue driving the innovation pipeline, absolutely. And today, we also announced the unfortunate closure of a facility here in Sweden. That, of course, supports our continued drive towards an asset-light approach. We will outsource the production from our facility in Brastad in Sweden to external suppliers. This will bring a lower cost of some SEK 100 million, but of course, we need to then close a plant as a result. If we just look at then the 4 metrics that we've been looking at in recent times, of course, from a net sales perspective, it was flat. However, what I would like to say is 2 out of 3 divisions have been in growth. Husqvarna Forest & Garden growing at 1% and Construction division growing with 3%. The decline came from Gardena, which declined with some 7% from a sales perspective. As mentioned, strong development in the professional segments. And actually, I'll come back to this, but a mixed sentiment when it comes to the residential segments. We do continue to see a challenging market condition in North America. From an operating income and earnings perspective, we have improved now from SEK 53 million to SEK 140 million, so a whole percentage point of EBIT margin improvement. That again has come through favorable product mix, strong cost control and cost savings despite the headwinds that we talk about by way of tariffs and FX. Cash flow continues to be positive, and we're actually very pleased with our cash flow development. We've continued to reduce inventory. We had a strong inventory reduction in 2024, and we've continued that into 2025, and we will continue doing this. That has enabled us to reduce net debt in a very positive way. And as such, a key ratio of net debt-to-EBITDA has continued to improve. Of course, key product segments for us, robotics and battery. Now these 2 segments account for some 22% of our net sales. It was 20% 12 months ago, and we talked about on a rolling 12-month basis. This is as a result of the strong product launches we've had, particularly in boundary wire-free technology. And we -- as I mentioned, we have a strong presence now in the professional robotics categories in particular. So moving on to the divisions. As mentioned, Husqvarna Forest & Garden had a continued growth. We actually see a 1% growth in Q3, lower than we've been in the first half year for a continued growth. That means on a year-to-date basis, we actually see an organic growth of 4%. What is important is we saw a continued improvement in the operating margin, again, coming through from the growth aspect, but also the strong product mix as well as the strong cost savings. Husqvarna Forest & Garden division is exposed to a challenging North America situation where we do see a reduced and subdued consumer sentiment. And as with all 3 divisions, of course, we see an FX headwind as well as a negative tariff headwind. But overall, we're pleased with the Forest & Garden development in Q3. And of course, on a year-to-date basis, organic growth of 4% and a continued operating margin of some 10.9%. What I would say maybe to give some flavor on inventory as well is whilst we've continued to reduce inventory, we see the inventory situation in the -- with our channel partners. It's somewhat normalized in Europe and a little bit higher in North America. That's probably the best way I can describe this right now. From a Gardena division perspective, after a stronger Q2, we actually saw a decline in Q3. Very, very mixed. We actually saw a growth in the watering business. Of course, Gardena is synonymous with watering, and we saw a continued growth after Q2 into Q3 of a strong watering development there. However, the other segments, hand tools and robotic lawnmowers, we saw a decline in Q3, largely the result actually of the channel inventory situation, where we see a much slightly higher position in inventory in Europe on the nonwatering categories, lower in watering, higher in nonwatering and our channel partners continue to derisk as we come out of season, of course. So very, very normal in our non lawn care season. Operating margin was actually minus 9%, pretty flat to the prior year. So despite the negative volume development, we've managed to hold the margin more or less flat to last year with a stronger cost control, particularly in the quarter. Year-to-date basis, we actually see organic growth of minus 2% and operating margin of 10.5%. Husqvarna construction, I actually say this is the success story of the quarter. We continue to see a growth. So despite a very tough first half year, which is really North America, we've actually seen a growth into Q3. Growth actually came in both EMA, our European area, if we call it that in the broader sense, as well as a slight growth in North America. So after a tough H1, particularly a very, very difficult Q1, slightly less difficult in Q2, we actually saw a growth coming through into Q3, also in North America, a slight growth, but very, very symbolic that we start to see a growth there. As mentioned in the beginning, we actually had a growth in our handheld assortment in construction, which is power cutters, a very key and strategic area for us. We've seen a strong growth there and the associated parts and accessories. Great cost control as well and very strong cost savings. As per the other divisions, equally impacted by negative FX and tariff headwind. Year-to-date basis, organic growth, minus 4%, and we actually increased the operating margin from 9.4% to 10.5%. So a pleasing development from the construction division. With that, Terry, I think I pass to you.
Terry Burke: Thank you, Glen. So here, we look at the Q3 EBIT bridge, where we have improved the result by 1 percentage point. Moving from left to right, you can see we have a positive SEK 130 million, really driven by the positive mix. As Glen mentioned too earlier, we have had good growth in the professional segment, good growth in robotics and in handheld and in power cutters. And at the same time, we also had good growth in watering. And all of those contributed to a positive mix. And here, we see a SEK 130 million improvement. Our cost savings program continues to deliver, and I think that's an important message. We have announced a couple of cost saving programs since 2023. And we continue to execute in a good way, SEK 130 million positive effect in the quarter. There was a small price positive of some SEK 15 million and a small investment in our transformational initiatives of some SEK 10 million. Currency was actually less of an impact in the quarter, and I say only a negative SEK 15 million in the quarter because in the first half of the year, it was significantly higher. I'll come to that in a moment. Tariffs, the gross tariff impact was SEK 165 million negative impact. So that left us with a 1.5% margin. If I move on to the year-to-date, our EBIT margin moves from 9.8% to a 9.5% margin, and that's despite the significant headwinds we face with price, currency and tariffs. So I think that is important to have in mind. We do have a small positive effect through a sales growth of 1% and the mix. We've talked a little bit about the mix previously. Robotics, for example, year-to-date is 12% sales growth. So of course, that is margin accretive, and we've had some other areas of growth such as watering and handheld. So they have played in and had a positive effect of some SEK 150 million. Cost savings, as I referred to earlier, we have now delivered some SEK 1.7 billion of cost savings in the last few years since we made the announcement of some of our cost restructuring programs. So we feel very good about the existing cost savings program. And so far this year, we have delivered SEK 565 million. Price is a negative year-to-date. We did have a small positive in Q3, but the first half of the year was negative, and that was really driven by the robotics price deterioration. And that has ultimately ended up with a net negative SEK 280 million in the year-to-date numbers. SEK 80 million invested in our transformational initiatives. Currency, the strengthening of the Swedish crown has meant a negative impact of some SEK 280 million year-to-date, and the gross tariff impact is SEK 230 million negative, leaving us at the 9.5% margin. We have a very solid financial position, and Glen did also refer to this a little bit earlier. We have managed our working capital in a very good way, and we have managed to reduce our inventory by some SEK 1.3 billion. if you adjust for currency, that's around about SEK 700 million reduction, currency adjusted. So that's continued good development in this area. We've also reduced our borrowings on the back of very good cash flow and some SEK 1.3 billion reduction in borrowings. Maybe one other thing to call out on the balance sheet, you see an increase in trade payables, and that is really as we now turn the curve to start to do some preseason build and ramp-up of inventory getting ready for the season 2026. Our net debt is now at SEK 9.9 billion versus SEK 12.8 billion same time last year. So we have reduced our net debt by some SEK 2.9 billion. That's a very strong message and a very good achievement during some challenging years we've had. And really, what you're starting to see now is that continued positive rolling 12 impact, and we are now at 2.2, where at the end of 2024, we had peaked at some 2.5 ratio. So it's really good to see how we see that decline and puts us in a stronger financial position. Cash flow, another strong positive cash flow year. We had 2 record cash flow years in 2023 and 2024. And whilst our expectation was not to meet the same levels as those 2 previous years, it was still to have a strong cash flow. And as you can see, we continue with good solid cash flow and some SEK 4.6 billion positive year-to-date. Glen, with that, I'll pass it back to you.
Glen Instone: Thank you, Terry. So probably worth giving a little bit more flavor on the robotics category in particular, of course, a key area for the Husqvarna Group. And we've shown this slide before and we talk about having the segmentation view. So we have 3 clear segments. We have a professional segment, which we're targeting professional users and much larger green spaces. Then we have the 2 residential segments. One more premium, one more entry segment. And you see there in the pie chart, of course, the share of our sales. So roughly 15% of our sales coming through by professional products and 85% through residential. The professional segment now actually over SEK 1 billion. So quite a milestone that we've surpassed the SEK 1 billion mark in professional robotic lawnmowers. The green arrows also are there to show how we've seen our growth. In the entry segment, it's flat. So despite what we talked about in the quarterly report that robotic lawnmowers under the Gardena brand that declined in Q3. This is, of course, Q3 is a non-lawn care quarter. So we should look at that more on a year-to-date basis, and actually, it is flat. On the more premium end under the Husqvarna brand, we've actually seen a continued growth in a market that is growing, but we have continued to grow. And of course, at the professional end, we've grown significantly as the awareness of this category improves and increases throughout the world. And I gave some testimonials there, particularly in the golf space, but of course, equally as attributable to the municipalities and other sports applications. So just to maybe before we round off, I think another key area that we should mention is we continue with our sustainability and Sustainovate drive. We launched this in 2015, so we're some 10 years into this program, but we're very, very pleased with our CO2 development, 55% reduction. The target at this stage was to be minus 35%. So we're way ahead of the curve in terms of our plans. So we're really, really pleased with how we're developing in terms of CO2 reduction. At the same time, we also have 2 other key metrics that we measure. One is circular developments and circular innovations. And in the past quarter, we've actually increased that from 41 to 45. So getting very, very close to our target of 50 that we had for this year. And then, of course, empowering people, educating people, we're actually surpassing the target we set of 5 million people. So now we have some 5.5 million people. We believe we have at least helped to take the sustainable choice going forward. So very, very pleased with our progress when it comes to Sustainovate and sustainability. So just before we open up for Q&A, just to recap again. Despite the flat top line, good growth in the professional segments, professional robotic lawnmowers, professional handheld, both Forest & Garden and Construction as well as the associated P&A, growth in watering, a subdued sentiment for consumers and therefore, some negative development from some consumer product categories. Despite headwinds from FX and trade tariffs, we've managed to improve EBIT with 1 percentage point, and that has meant we've been delivering on a stronger mix and strong cost control and cost savings programs. The balance sheet is in a much healthier position. We've continued to reduce our inventory, increase our cash flow, increase the work -- improve the working capital and therefore, improve the net debt position. And we're also very, very pleased, of course, to announce the new innovations going into season 2026. Those products actually, we're looking forward to showing you in person at a Capital Markets Day that we will have here in Stockholm in December, December 10. So very much look forward to welcoming you there. We will then talk about the next phase. And the next phase will be a lot about focus and being bold. We've got to be much more focused on our key areas. We've got to be very clear on our differentiating factors, and we'll also be very, very clear on our competitive situation and how we need to improve there. So that is a flavor of what we will bring at Capital Markets Day in December. And with that, Emelie, I think we should open for Q&A.
Emelie Alm: Yes. Thank you, Glen, and thank you, Terry. So now it's time to open up to a Q&A session. [Operator Instructions] So starting with the conference call. Operator, do we have any questions?
Operator: [Operator Instructions] The first question comes from the line of Adela Dashian from Jefferies.
Adela Dashian: Just a couple of questions from me. The first one, I guess, is more related to the general market environment, and we've heard of several other, you could say, maybe more prominent, not the new, but still relevant players launching products and so on. Are you seeing more intensified competition that you believe is also pulling down your sales figure? Or do you merely view this as external headwinds causing the disruption at the moment?
Glen Instone: Should I jump in, take that? I think a very valid question. I would actually see it more as the latter. I think it's more to do with the consumer sentiment right now in the marketplace. We've always had a healthy competition, and we welcome a healthy competition, but I would really see it as a market sentiment that is driving the demand.
Adela Dashian: And then maybe to back that up, I mean, you launched several new categories yourself this year, both on the professional side and the resi side in the robotic lawnmower segment. I think at the beginning of the year, you were talking about growth in both those categories. Could you maybe explain what has turned the market more sour in the resi segment in H2? And maybe also your view going into the fourth quarter, which is a seasonally smaller one.
Glen Instone: Yes, I took your question there has been largely on robotics. And again, I think we should look at this on a year-to-date basis. We're coming out of lawn care season in Q3, so it is a much smaller quarter. We have seen growth in both residential and professional robotic lawnmowers, strong single-digit growth on residential and strong double-digit growth on robotic mowers. So I actually think that the year-to-date position is where we need to focus. H1 is very much the lawn care season where these products are very predominant, if I call it that. So I think we need to look at it in that context. So I don't see that Q3 has changed the position for the Husqvarna Group on a 2025 outlook or beyond.
Terry Burke: Maybe, Glen, if I can just build on that. Also to highlight, we have had a price erosion in the residential robotics. So we talk about a 12% sales growth year-to-date on robotics. If you adjust for the price erosion, the actual volume impact is quite a bit higher than that, getting close to the 20% once you start to adjust in for the price erosion. So I think that's a good signal of growth for the year-to-date numbers.
Adela Dashian: Perfect. That's good color. And then maybe lastly for me, just thinking of the cost savings programs that you've already implemented, roughly SEK 1.7 billion, I'm getting cumulative and then an additional SEK 100 million announced just now in the quarter. Does this mean that basically going into to Q4 it's evaporating a bit. So we potentially could see at the Capital Markets Day a more profound savings plan being announced. What's your view on that?
Glen Instone: Maybe start with where we are, Terry with the savings?
Terry Burke: Yes. So just to put a bit of context on there. We have delivered some SEK 1.7 billion. I think we announced the programs back in 2023, and there's been a couple of programs since then. But in short, we've delivered SEK 1.7 billion. We expect to deliver around SEK 2 billion in total on the existing ones, not included in Brastad. This is something separate now. So there's still around SEK 300 million to come. I would estimate roughly half of the SEK 300 million will come in Q4, and then the rest will come into H1 2026 as we finish off that cost reduction program. . Maybe I can also -- we're talking a little bit around Q4. So maybe I can also just take the opportunity to highlight a couple of extra headwinds we have in Q4. We expect a currency headwind of some SEK 100 million, give or take, during quarter 4. And of course, the tariff pressure will continue. There's still movement with trade tariffs, so we're not quite sure yet, but we would expect tariff impact to be around the SEK 100 million as well in Q4. So there are some headwinds for sure coming into Q4 in addition to the weaker consumer sentiment.
Glen Instone: Yes. And then I think you asked about the broader, is there more coming given that the current savings program is coming to an end. Of course, we announced a fairly small savings program today, it's SEK 100 million from a closure of a factory here in Sweden, of course, always a very sad and difficult decision to take. But we need to continue looking at the cost competitive situation of this group, and we need to continue taking cost out. So more to come at Capital Markets Day on that -- in that respect.
Adela Dashian: Just lastly, if I may, since you were so granular giving us the expectations on currency tariffs and cost savings going into the fourth quarter. What's your view on price?
Terry Burke: The view on price, flattish. I wouldn't expect a significant improvement in price. So I would guess, flattish.
Emelie Alm: And sorry, let's jump into a question from the webcast. So on -- from Stefan Stjernholm at Handelsbanken. So he's wondering about the need for price cuts to regain growth in the entry-level segments in robotics for next year?
Glen Instone: Stefan, I can maybe start, and Terry, feel free to jump in. So we have taken some price adjustments this year in robotic lawnmowers. We alluded to a figure, but maybe we can even be a bit more specific there. Of course, boundary wired solutions, maybe the older technology, we've had to take price reductions as they sort of come more towards the end of life. On the newer technology on boundary wire-free, this is where, of course, we need to be cost competitive and price competitive in the marketplace, and we've taken some slight reductions there. So overall, we've had around a 5% price reduction in our robotic lawnmowers this year. So I think we have actually repositioned ourselves pretty well during the course of 2025. Again, we'll continue looking at that, but I think we've taken most of the positions there when it comes to price changes.
Terry Burke: Maybe just to add on to that. We, of course, are also understanding the cost pressures that the competition bring. So of course, we are also driving cost out of our robotic products. So we need to maintain margins as best we can. We know that, and we will continue to protect margins. And that means we also need to drive cost efficiencies on the robotics.
Emelie Alm: Yes. So operator, do we have any further questions from the conference call?
Operator: The next question comes from the line of Fredrik Ivarsson from ABG.
Fredrik Ivarsson: I have a few, but first, maybe a follow-up on the last one, just to clarify. Did you say 5% cost reduction on resi robotics overall or just for the entry models?
Glen Instone: No, just to clarify, that was a price reduction figure we give. We have far -- obviously, we need to be much more cost competitive than that. So we have, on average, about a 5% reduction on the residential robotics price. Price reduction -- that's price reduction, not cost. On cost, price reduction, yes.
Fredrik Ivarsson: Yes. Yes, exactly. That's what I meant. And then a question on Gardena and Orbit specifically. It sounds like it is struggling a little bit at the moment. Do you have a view on the market share development for Orbit over the last years? And maybe also if you could help us with the margin development in Orbit. I think you said it was accretive to margins in Gardena in 2024. So if you could help us with that?
Glen Instone: Can you take it, Terry?
Terry Burke: Well, first of all, what I would say from the market position, Orbit, consumer sentiment in North America has been weak. I think it's been weak throughout the year, but Q3 was considerably weaker. But I think that's also consistent with the Forest & Garden division as well. So consumer sentiment in North America, we are seeing is weak in general. So I think market share is fairly stable, I would say, over the period of the last few years. But of course, North America consumer sentiment over the last year or so has clearly deteriorated. So I think that's that side of it. Orbit margin is trying to remember now, I think it's more or less on average with the division margins now, maybe adjusting for acquisition amortization, margin accretive slightly.
Fredrik Ivarsson: Perfect. And then on the cost savings, a bit more than half -- SEK 1.5 billion in year-to-date -- or sorry, SEK 0.5 billion, I guess, is year-to-date and then SEK 1.7 billion over the last years. How are those divided between the 3 segments? Any segment that's been more favored by the cost savings? Or is it just equal across the lines?
Terry Burke: What's your definition of segment, Fredrik. Just trying to understand what do you mean by split?
Fredrik Ivarsson: Sorry, the 3 divisions yes, the 3 divisions.
Terry Burke: Between the divisions. Yes, I would say it's fairly -- yes, fairly consistent. All 3 divisions and also group functions, everybody has had to contribute in some shape or form to those cost saving programs.
Fredrik Ivarsson: Okay. Good. And then just one last quick one on the tariff impact, SEK 165 million gross. How much of that have you been able to offset through price adjustments and other effects?
Terry Burke: Yes. We've had mitigated actions of around SEK 100 million. So the net impact in the quarter is some SEK 60 million, SEK 65 million net negative.
Emelie Alm: And if we can have the next question from the line, please.
Operator: The next question comes from the line of Bjorn Enarson from Danske Bank.
Björn Enarson: I was also into price and savings. I mean looking at the next year, are you expecting to see market-driven price cuts primarily in robotics and perhaps also handhelds? Or are you expecting to see higher prices looking into next year? And if you are not expecting any positive price development, are you planning to offset that through efficiency or savings? Or what's your view there?
Glen Instone: Bjorn, I think it would be naive of us to think there's going to be significant price increases in the marketplace next year. Of course, we always look to increase price, absolutely. So -- but I think overall, we're not going to see large price increases, 1%, 2%, 3%, 4% levels. I don't think we'll see that. So we will continue to drive price increases in some segments and may see some price erosion in others. But do not expect price erosion on a net basis. At the same time, our cost position has got to improve. I think it's fair to say we need to continue driving cost efficiencies in this group. We do see a lot of opportunities. We'll come back to this with a bit more detail at Capital Markets Day, but we need to continue driving cost improvements across the group.
Björn Enarson: And on Chinese competition, have you any view on how much volumes have come from China over the last years? How much that have increased in a little bit of a sense of a supply-demand perspective? Do you see massive volumes? Or what's your view on that?
Glen Instone: You mean -- are you talking robotics now, Bjorn, or across the board?
Björn Enarson: Yes, exactly. Primarily robotics, but I guess, also handheld or basically where you see competition from China?
Glen Instone: We do get access to such data. We buy market share data, et cetera, and we can see, of course, therefore, the position of some of our competitors. But I think it would be wrong of me to allude to volumes that they're bringing in or their market shares.
Terry Burke: Maybe I think it's fair to say, of course, that in the entry segment, this 15% in the entry segment that we have the robotics section there, the Chinese have came and be very aggressive there. So there are 2 or 3 players who have gained market shares there. So they have taken a position on the entry segment. We continue to remain very strong positions within the mid- to premium and also, of course, the professional.
Emelie Alm: Do we have another question from the conference call?
Operator: The next question comes from the line of Gustav Hagéus from SEB.
Gustav Sandström: This is Gustav Hagéus with SEB. Glen, congrats on your new job, well deserved. If I might stick with the robotics growing 12% year-to-date. From what we're hearing in the market by other participants, I guess the view is that the market grew about 30% during the same period this year. Is that -- does that resonate roughly with your view of the market growth?
Glen Instone: So first, thank you. But secondly, I believe we do see a market growth. As Terry mentioned earlier, if we adjust for the price changes that we've put through this year, then maybe our growth is nearer -- is higher than we said. We said 12%, maybe it's closer to 20%, 17% to 20%. But we do see a strong market growth. And this really just supports the long-term view that this segment is growing. The awareness and the penetration levels are still low with robotic lawn care. We know that in many countries, it's still relatively unknown. So we're very, very pleased that the market continues to grow and we've continued to maintain a strong market share. Now the competition intensifies. And again, we're very, very respectful of the competition and what they bring to the marketplace. So we need to continue with our innovation pipeline and continue being competitive in the marketplace.
Gustav Sandström: And secondly, I just want to come back to that comment on the volume growth. You mentioned perhaps 20% volume growth while growing 12%, so minus 8% price/mix. The general feel in the market as we take it, though, is that the mix is significantly positive in the quarter, driven by less sales of lower-priced boundary wire robots to the benefit of higher-priced boundary free models. So does that not impact you to the same extent as the market? Or don't you see a net combination of the mix and the price being positive in the year?
Glen Instone: So maybe we should clarify a couple of things. We're probably more like 5% price adjustment, and we talk on a year-to-date basis with the numbers that Terry referred to. So that 12% total growth is a year-to-date figure. And therefore, the price adjustment should also be taken in a year-to-date context. The total market, of course, yes, there's a shift towards boundary wire-free solutions. But from a price perspective, we don't see boundary wire-free and boundary wire being in a big price difference at all. So whilst the technology is improving, the price of 1,000 square meter machine is very, very similar. So we don't see a mix upwards because of the technology change. In our perspective, us growing in the professional end, of course, is a positive aspect for us. You want to add something Terry?
Terry Burke: Yes, I do actually. And maybe also be mindful that we had boundary wired product for this year, which we had to be quite aggressive on the pricing to move out because, of course, we are transitioning and the market is transitioning from boundary wired to boundary wire-free. So of course, we've had to be quite price aggressive to make sure we move out that inventory and all the technology. So you have to build that into the numbers as well, have that in mind.
Gustav Sandström: All right. And then on this new -- the new robot line that you're coming to the market with them. If we start with the GARDENA SILENO sense, what's the list price of that? We're hearing retailers now are pushing in Europe for enterprise or the boundary wire-free of about -- of EUR 399 price point. Is that -- are you going to be competitive in that price point with the GARDENA SILENO this year, you think?
Glen Instone: I don't expect Husqvarna Group is going to be offering products at EUR 399. I think the brand premium and what we offer and the installed base commands a higher price and our innovation commands that. So I don't expect we're going to be down into those figures at all, Gustav. But of course, we've got to be price competitive. It's not to just put something that's not competitive in the marketplace.
Gustav Sandström: Okay. But you're not willing to give us a list price for the Gardena. I think the list price for the predecessor was 1,499, right?
Glen Instone: I see it to be slightly more competitive than that. It will be online very soon. Gustav. I don't think we fully released that, which is why I don't want to say it, but I do think we'll be more competitive than that for season '26.
Gustav Sandström: And then a final one for me, sticking to the new robotic line. With the new AI vision and the new models, do you feel that you have the hardware to enable AI at the fullest? And do you feel that you've had time to train the AI to be fully competitive in the market? And also from a price competitive perspective, do you feel that you -- from what you bring with AI ambition based is price competitive?
Glen Instone: We're very pleased with the -- if you like, with the solution we have. Of course, we've been building this for a number of years now, and this means we get more and more images and therefore, it becomes more and more accurate from that edge-cutting accuracy and object detection perspective. So we're very pleased with what we're bringing to the marketplace. But that doesn't mean we're done. Of course, we need to continue driving the innovation forward as well. So look forward to showing you these units actually in action at Capital Markets Day.
Emelie Alm: Thank you, Gustav. So another question from the webcast, switching subjects a little bit. So the parts and accessories grew strongly in the quarter. So how much of the total sales are recurring sales? And how is the progress there?
Terry Burke: Parts and accessories for the group is around about 20% of the business, yes. And of course, it's performed well this year. We continue to focus on aftermarket. It is a key strategic area for us. Of course, the more professional we become, which we have grown our professional share over recent years, the more we generate this aftermarket and recurring income. So this is clearly a strategic area for us and definitely more to come on that in Capital Markets Day.
Emelie Alm: Thank you, Terry. So operator, do we have any further questions?
Operator: [Operator Instructions] the next question comes from the line of Johan Eliason from SB 1.
Johan Eliason: It's Johan nowadays at SB 1. Just to -- sorry for coming back very briefly on the robotic side again. Can you give an indication on your share of wire vis-a-vis wire-free sales this season? And secondly, just on the robotics, you talked about these price cuts, but you also talk about a positive margin mix impact. Would you say that all your price categories are supporting your group margin for the year? And would they also be supporting sort of the divisional margins in Gardena and Forest & Garden?
Terry Burke: So first of all, maybe let me just start with the last part of the question on the margins. Professional robotics is margin accretive and the mid- to premium Husqvarna branded is margin accretive. So we talk about the mid-section and the premium section, they are margin accretive and very attractive to us. The entry segment, which is extremely competitive, which is around 15% of our sales, that is not margin accretive. So just to be clear on that, it's very price aggressive, and it's an area where, yes, margins are less, margins are tighter. But of course, we need to be more cost competitive. . On the shift from boundary wire to boundary wire-free. So the market now is some 80% to 90% boundary wire-free. So there has been a very fast shift from boundary wired to the boundary wire-free. So of course, we are also managing our portfolio to reflect that and moving our innovations very much. And now we start to tail off the boundary wired products. I don't know if you've got anything to add.
Glen Instone: Yes, I can just add to that, Johan. I think what we've seen, of course, is that acceleration during the course of the season without a doubt towards boundary wire-free. Our split today, if I just look at year-to-date, it's about 40% boundary wire and 60% boundary wire-free, but driven from a much stronger boundary wired sales products in sort of the Q1 going into Q2. But as Terry said, that has accelerated a lot. So if I look purely at the trailing 3 months, then we would be very much in line with the market.
Johan Eliason: Okay. Excellent. And then just on the tariffs, obviously, we've seen more impact of it now in the second half and you guide for the Q4. What about next year? I mean you always missed the tariffs on the big volumes of your sales into North America. Should we expect a significantly bigger tariff impact next year versus what we've seen now in the second half for the first half? Or are you being able to mitigate it so the net effect will be significantly less than one could fear?
Terry Burke: Of course, it's always difficult to be concrete in this area because they change regular. But as what we know today, yes, of course, there will be an impact going into next year. So particularly in the first quarter, but also some carryover into the second quarter of next year. We expect some tariff pressures of SEK 300 million to SEK 400 million going into the first half of next year. Of course, we will look to offset some of that. So maybe we get to offset half of that, but there will be a net tariff pressure in the first half of next year, yes. It's probably fair to say, of course, the tariff pressure is then trailing that we get H1 pressure, but also our price increases in reaction to those tariff increases. We're also trailing the impact. So they should also come through into the first half of next year as well on a -- to offset.
Johan Eliason: Okay. Excellent. And then just on the inventory reductions, you talked about SEK 700 million in this quarter, currency adjusted. How much is related to the plant divestment in North America, where I understand some inventory was part of it as well?
Terry Burke: Yes, there was some -- I'm trying to cut my mind back now. SEK 500 million, if I remember correctly, would be linked to the Orangeburg divestment.
Emelie Alm: Thank you. So we have another question from the webcast. Very impressive strong free cash flows. Last 3 years have been strongest in the last 20 years. I need to fact check that, but I'm sure it's right. So good work. What do you think will be possible for '26 and '27?
Terry Burke: Of course, we need to get more to a normalized situation. the last couple of years, we have had to manage our working capital in a much more effective way. We know why we ended up with higher working capital, higher inventories with supply disruptions, et cetera. So we still continue to be focused. We still got work to do on our capital efficiency. I think our capital efficiency, working capital efficiency is some 32% now. We want to, of course, continue to drive that into the 20s percent. So still more work to be done. But of course, you have to have the perspective of, let's call it, the low-hanging fruit of some of the inventory reductions has gone now. But it's still continued good cash flow. We need to continue to stay focused on our balance sheet and need to continue with good positive cash flow every year.
Emelie Alm: Thank you. Do we have any further questions from the conference call?
Operator: We have a follow-up question from Gustav Hagéus from SEB.
Gustav Sandström: More of a bigger one, but given that you're new to this position, Glen, and maybe have a slightly different view. It'd be interesting to hear your thoughts. Thinking about Gardena and the industrial logic for keeping Gardena long term as a part of Husqvarna. I mean, historically, I assume part of the rationale has been that you've been able to develop handheld tools and robotic mowing and been able to sell it at a lower price year after to -- under the Gardena brand. But as that business seemingly is declining and very fast, so in Q3 here being the driver to the decline in Gardena, although a small part, I guess, of the total sales. Does it make sense over time you think to keep this group together? Or does Gardena -- is Gardena a company that could potentially stand on its own leg if you had the opportunity to get something material back from such a spin-off or trade?
Glen Instone: A very broad question you asked, Gustav. I think I would like to go back to the rationale for Gardena when we acquired it. So I guess, 18, 19 years ago now. Well, time flies. But of course, I believe Gardena is synonymous with watering and hand tools in particular. And we've managed to expand that range into being the choice for the passionate gardener. So much more in the residential garden. But the whole rationale for Gardena, of course, was somewhat the weather to try and counteract the weather dependence that we had in the Husqvarna business, particularly Husqvarna Forest & Garden. . And I do believe watering and particularly in today's world where watering is key and we have smart watering, I think that's what Gardena is very much standing for and having a market leadership position there. This is where we can continue to expand much, much more than we have been. To go back to the rationale of why Gardena fits, I really believe it fits for that reason. That is a good counter weather. Product offering versus our traditional OPE products.
Emelie Alm: Thank you. Do we have any further questions, operator?
Operator: Ladies and gentlemen, that was the last question. I would now like to turn the conference back over to Emelie Alm for any closing remarks.
Emelie Alm: All right. Thank you, operator, and thank you all for joining today. That concludes the Q&A session. And I would also like to remind you about to register your attendance to our Capital Markets Day by no later than November 10 ahead of the Capital Markets Day on December 10. So with that, thank you very much for today, and we look forward to seeing you in the future.